Unidentified Company Representative: Welcome to the Kahoot! Group Earnings Webcast for the Fourth Quarter of 2022. I'm [indiscernible] from Kahoot! and I will be your moderator today. We are very excited to be here with you to give you updates on our progress here at Kahoot! We will start by giving you an introduction, and then we will proceed to discuss Kahoot!'s financial and operational highlights from Q4. At the end of our presentation, we will take some questions from the chat. So please feel free to share your questions in the chat as we move through. Today, we have with us here, Eilert Hanoa, CEO of Kahoot!; and Ken Østreng, CFO of Kahoot! I will now pass it on to Eilert to get us started. Over to you, Eilert.
Eilert Hanoa: Thank you, Irma, [ph] and good morning and good afternoon everyone. Thank you very much for taking part in this fourth quarter presentation and the following Q&A. We look forward to taking you to our final quarter of last year and share some of the highlights on – as well as how this sets us up for great 2023. Kahoot! is a mission driven company born out to the idea of making a learning awesome for everyone. And a sustainable future starts with learning, as we all know, and learning and development is what really drives our society and all us as organizations forward. And for us with genuine desire to develop the best learning tools in the world to engage learners of all ages is also fundamentally what underpins our focus and our growth as a company. As we're entering 2023, Kahoot! is well positioned with a unique opportunity to contribute across the spectrum, reaching all learners worldwide. Evolving over the last years, the group today consists of the core Kahoot! learning and engagement platform that we all know with the signature Kahoot! experience. In addition to Clever, the leading U.S. K-12 digital classroom solution, connecting education providers with students, teachers and schools all over the U.S. And last but not least, a full suite of complementary learning applications and experiences developed and acquired over the last couple of years. The first quarter of 2022 – sorry, 2023 marks the 10 year anniversary since Kahoot! was launched as an extremely popular classroom quiz. As we all remember, it was nice to have and free back in the early days, but celebrating our anniversary, I think, it's important to recognize the roots of the company and the fantastic team, the founding team, did on building the fundamental idea of making learning awesome. This continues to be our guiding store or DNA and the fuel that is really driving our product led innovation and growth strategy. At the same time as we make disciplined investments going forward, even though half of our organization is devoted to product development. We really also want to always have a careful management of investments and costs to the commitment of our profitable growth as we continue to build the organization and that is a part of our DNA as well, as we had demonstrated through not only 2022 and Q4, but also for last 12 quarters. And over the last three years alone, we have seen invoiced revenue growth substantially, as you can see, but also being able to continue to scale on the financial side. And we do continue to scale with both better offerings, broader offerings and being able to go deeper into our users case and value proposition. And we're also already significantly growing when it comes to the footprint among professional users and corporations in different segments and verticals. And last but not least, we have the strength of the Clever platform in the educational space in U.S. And going forward and despite uncertain market economic times, Kahoot! stands very firm with its commitment to continuous profitable growth into our scalable software platform phase that started out in 2022. And with our key growth levers, we believe that we have several ways to continue strong growth trajectory going forward. First of all, it's important to recognize that Kahoot! unlike many others is not dependent on external sources like paid marketing to grow. The most important growth lever is the product itself. And experienced Kahoot! is really how the message is passed forward. And this is why the user experience and engagement on the platform creates the basis of the viral spread and in the next round to conversion to paid usage, whether it's between individuals at school or in corporations. Secondly, our world leading Kahoot! love brand, which is globally known and respected across audiences, verticals and geos, are also an extremely important part of this foundation. Thirdly, our strong scalable platform with hundreds of millions of users able to use the ecosystem either as learners or presenters or contributors together with our global partner brands and with publishers that are creating premium content for all kinds of use cases with our extremely efficient and scalable low operational cost base platform. And I think we demonstrated the leverage of this model very well in our fourth quarter where we effectively grew the unit economics well as we also were able to grow our top line as we continue to invest heavily in more value for all our users in every cycle. Also great with a passion is that we continue to see from our movement of users of all age. The [indiscernible], which was recently published, is the U.S. intelligence agency focusing on Gen Z and millennials analyzing young consumers affinity for brands across all industries. And it's of course very good to see Kahoot!'s ranking among the coolest brands both in Western Europe and in the U.S. in 2022. This is truly an amazing achievement for company like ourselves in a niche segment of learning together with this very well established consumer brands. So this recognition alongside others is a testament to the unique relationship we have established to our user base. The Kahoot! brand stretches across virtually all audiences from kindergarten all the way to – kindergarten teachers all the way up to the CEO offices on Wall Street. And imagine the amount of opportunities that this established brand platform gives us into the existing verticals, into adding more value and also to expand to new verticals across the globe with this background. The associated value of others is already proven through the many partnerships that we have established with other renowned global brands, and we have yet to commercialize this in a large way. So, overall, our brand is powerful and extremely important assets are what build out the Kahoot! platform as it converts directly into the usage, engagement and value for all our users in all the segments that we are providing solutions for. And the most unique is that this brand position is built without buying the position rather building it through an extreme value created on behalf of the users and the users promoting the value by word of mouth. That takes us to the fourth quarter where we delivered a solid performance from a financial perspective, despite the market turbulence, both in terms of top line growth and in particular operating cash flow amounting to $17 million in Q4 and $43 million in the full year of 2022 with marginal CapEx. Clever had solid growth in usage and top line with now 75% of all U.S. K-12 schools on the platform and buildings exceeding $64 million for the full year, a 29% growth on the pro forma basis on top line. And even though their total growth in Q4 was fairly flat, the usage on the platform is continuing to grow both throughout 2022, but also into January as we see the same trend continue with growth in usage about 8% in January on MAU compared to last year. Another key driver for our growth was the continue trend in paid professional users. Professional users, which is of course the whole spectrum from hosts in schools, hosts in business settings, and employee seats as well uses particularly the – and shows the – sorry, the strength of the retention numbers. The dollar retention for our top enterprise and school districts accounts remain solid at 120% plus, which is approximately the same level as we have in Q3 and q4. And furthermore, we currently see a slightly improved settlement compared to the end of Q4, and particular in the Work segment with somewhat stronger growth in the beginning of this year. We're also very pleased to see that integrations and feature for all segments, including student-led game experiences enable increased learning value, usage and engagement on the platform. And all these investments that we have done across the platform for the last couple of quarters will really make it possible for us to accelerate our commercial activities in 2023. Through organic growth on acquisition over the past years, the Kahoot! Group is now positioned at the intersection of learning and audience engagements needs across key vertical and business areas. And let me take a moment to introduce how the group will report and organize our diversified business going forward. And we do this to seize the opportunity across three broader categories with vastly different users representing different commercial potential and the commercial which you have heard of as Kahoot! at work. Previously, we gather group's resources tools and solutions for corporate learning and engagement, including Actimo and Motimate as their acquired units and, of course, every asset investment we do on the Kahoot! platform for professional usage in corporations. Under education, Kahoot! school and Clever will make up our powerful offerings to teachers and students. Today, Clever is in the U.S. and Canada, but that's a part of our international rollout going forward. And of course, under consumer and experience, you will find not only the Kahoot! at home and Kahoot! academy with marketplace, but also our learning platform and learning apps that's combining the acquisitions of Poio, DragonBox, Drops and others to make sure we have a great learning platform for learners of all ages, including premium content from educators, publishers and brands. And as we continue to evolve as a group, we will organize around these three business categories to further power up our commercial efforts and unleash the full potential of both our teams, our setup, our customer base and our product offerings in the time to come. And as evidence for this, for most – sorry, as it is evident for most macroeconomic situation at the end of last year, and also continuing into this year is more challenging. In this context, Kahoot! offers an attractive value proposition with a CapEx slide learning tool for corporation of all size. We actually see a higher interest in using Kahoot! as a company-wide tool for learning, both from the Kahoot! platform from Actimo and from Motimate than ever before during the turbulent times of the last couple of quarters. And we have a very good run in the fourth quarter when it comes to inbound interests to us to basically see how we can cater for large organizations using our toolboxes for flexible, easy to deploy and easy to consume solutions for enterprise, whether it's for retail, for travel or for corporations. And let me dive into some of the highlights from the Q4 lineup of customers that had even either bought new licenses, extended their current subscription, or been coming up new segment representative. The four I will start off with is BPP University, which is a university – private university in England with approximately 20,000 students across the UK. They started out with a hundred licenses for their teachers and then as they saw the value, not only for the teachers, but also for the admin and the staff increased that to one license for each employee, 1500 licenses.  A great example to see how even in a corporations and organizations, the viral spread of Kahoot! and upsell is currently working. And this, of course, is a great way for also to show the value that enterprise and educational institutions on many aspects have the same attributes and also the same use for the same functionality. Another example is Open English that are using Kahoot! in a total different way, basically as a distribution platform, as they have over a 1,000 teachers who are constantly with a high turnover, but also using the air platform to do training and seminars for students through Zoom. And they use Kahoot! the branded edition, to distribute their learning material to these classes from the different teachers for every session. In corporations, we have Compass Group, which is a company with approximately 500,000 employees across Europe where we have been able to add another two countries to the list of countries using the Actimo platform for training of employees. Latest in Q4 with Germany and Slovakia, adding another 10,000 plus seats on the Actimo platform. And it also shows as they’re continuing to expand and adding several countries every year the commitment we have together with Compass to make sure that we have a great solution for them and also that we provide the efficiency for their internal use as they continue to roll out our solutions internally. RoadSafe, U.S.-based company with the focus on traffic systems is also a new customer on-boarding to use their Actimo suit for internal training of their staff and really seeing that this is the best solution for them when it comes to reaching out to both new and existing employees and new training and necessaries as they go. And last, but at least Discover Financial Services also a customer being with Kahoot! for some time, continue to expand their licenses. And with their 15,000 employees, we also think there is a great opportunity to continue to grow, to get with them in the future. And all these customers we just talked about are spending in the range of $10,000 a quarter or up with us in order to have access to our solutions and really using them efficiently internally. What’s unique with Kahoot! scalable business model is that in most of these cases, all leads are inbound. These are inquiries coming to us either because they have seen it used already in the organization, in other similar companies in the same similar industry, or because they’ve seen the value from the small, initial use cases and the opportunity to scale it on our larger degree in this organizations. So with that, let’s switch to the priorities this year to really make sure that we are able to leverage this scalable platform going forward, because that’s really what we are all about and focusing on. There’s a lot of untapped potential for us to continue to grow, and not only that, continue to build great tools with even more commercial opportunities than what we have seen in the market from Kahoot! in 2022. The deeper and broader learning aspect, which of course also triggers opportunities for more commercial opportunities when it comes to existing customers and new segments, and getting more mileage out of the great teams and knowledge from our acquired offerings, giving us an opportunity to optimize how we distribute? How we sell? How we bundle all the assets have in the group? When it comes to Clever there is a great way now as entering their next phase to also double down on the commercialization of Clever’s premium offerings, which is together with their constant product development gives us an edge as we have 10,000 school districts already on the platform. And of course marketplace, which is not just offering content as we have seen in our first initial phase, but also the opportunities to offer other kinds of business opportunities, whether they are subscription, apps, and integrations for both publishers and content creators going forward. And last but not least, make sure that we never forget that it’s all about continuous innovation in order to succeed. So resources used on innovation will continue to be a large part, 50% of organization, and you will see a much higher run rate and rollout speed in 2023, even compared with our record year or 2022 to really make sure that all customers are getting a fantastic valuable proposition in every cycle. So with that, I’m very happy to hand over to Ken to go through our financial review of Q4.
Ken Østreng: Thanks, Eilert. Good afternoon and good morning everyone. I’m very pleased to take you through the numbers for a solid fourth quarter of 2022. From a finance perspective, our focus in Kahoot! is about continued scalable growth, expanding profitability, and solid cash flow generation with a disciplined capital allocation. In terms of continued profitable growth. The financial development of the past three years confirms that we have a proven scalable business model. Our 30 next billing growth to $169 million of the past three years is driven by organic growth in number of paid subscriptions and effect from acquired companies. Revenue growth follows recognition of the build and subscriptions of the term period driving the 18x increase of the past three years to $146 million revenue last year. We have continued improvement in adjusted EBITDA following revenue growth and prudent cost development with an adjusted EBITDA increase of $37 million over a three-year period. And in 2022, adjusted EBITDA increased 57% year-on-year to more than $30 million. Our scalable business model with marginal CapEx is proven by the strong free cash flow improvement of $44 million of the past three years. In 2022, free cash flow increased 37% year-on-year to $41 million. The fourth quarter operating run rate, which lies the scalability of the Kahoot! operating model. And as you can see in this chart, we have operating model leverage with a modest quarter-on-quarter growth of the operational cost base and this comes through a low customer acquisition cost by scalable platform supporting all customer categories globally with infrastructure cost for both free and paid users included in the current cost base and we have a capital-light business model. Its minimal CapEx required to support the scale of the operations. So the scale [indiscernible] in the chart includes both Clever and the rest of the Kahoot! Group. Furthermore the Kahoot! Group, excluding Clever delivered approx $105 million in billings in 2022, it close to 35% free cash flow conversion last year. And as Clever now has completed there or not, we’re no aligning at the financial development for Clever with the rest of the group. Now onto the quarterly development. We have a building seasonality through the year, and that’s impacted by the back-to-school season in the third quarter. And of course, regular business seasonality at through the year. In particular, for the full year, Clever grew 29% in billings year-on-year pro forma when the majority of billings came into third quarter, giving the natural seasonality of the business. The recognition of bill pre-paid annual subscriptions translates into continued quarter-on-quarter revenue growth through year with Q4 revenue up 18% year-on-year. Adjusted EBITDA continued to improve quarter-on-quarter during the year with an adjusted EBITDA margin increasing from 17% to 25% through to quarters in the year and adjusted EBITDA for Q4 was all time high over $9.6 million up 76% year-on-year. Our free cash flow generation follows the billing seasonality with the majority of the free cash flow in the second half of the year. And in Q4, we had 28% year-on-year growth in free cash flow, and in Q4 we achieved the same free cash flow as we delivered for the full year 2020. So our proven scalable business model combined the ability to drive profitable growth in acquired companies as part of the group is demonstrated by our adjusted EBITDA margin expansion over the past five quarters. Now onto the year-on-year development for the fourth quarter. The 8x growth in billings for Q4 to almost $44 million over the past three years is driven by organic paid subscription growth and the acquisition of Clever that was fully included from the fourth quarter 2021. The billing translates into the 13x revenue development over three years growing from less than $3 million in Q4, 2019 to $39 million in the fourth quarter 2022. Conversion of free to paid users and account expansion is driving growth in the number of paid subscriptions across all user categories, and by the end of 2022 will reach the 1.3 million paid subscriptions across the group. And from a geo perspective, the U.S. and Canada continue to develop as the major revenue region for Kahoot!, and has over the past three years increased its share of the full year billing from 46% to 65%. So accordingly Kahoot!’s billing currency is dominated by dollars. However, as the group has billings in other currencies as well, with more than $4 million negative impact on invoice revenue for 2022 due to the strengthening of the dollar in 2022 compared to 2021. Now on to EBITDA and the cash flow development. Following a continued year-on-year improvement adjusted EBITDA was up 76% year-on-year in the fourth quarter with an adjusted EBITDA margin or 25% in Q4 2022 versus 17% in Q4 2021. Cash flow from operations almost translates into free cash flow due to the business model with minimal CapEx required to support the scale of the operations. And Kahoot! turned cash flow positive in the fourth quarter 2019, and has remained cash flow positive ever since. So Q4 2021 was the first full quarter with Clever, and for Q4 2022, we have had a modest year-on-year growth or 6% in operating expenses talking to the scalability of our operating model. There are calculated share-based compensation expenses deriving from the Group’s equity program. And the calculated expense increased notably in the third quarter in 2022, and that was due to the rollout of a new equity program. But we can see that the share-based payment expenses are decreasing in the fourth quarter, and these expenses will continue to decline through 2023, in particular in the second half of the year based on the vesting schedule of current outstanding instruments. And by the end of 2022, we hired outstanding instruments under the equity program, both the old and the new of 32.7 of which approximately 50% of the instruments are non-dilutive at today’s share price. And of course, calculated payroll tax fluctuates with the share price development. When it comes to net income, we had a positive net income for both Q4 and the full year 2022 for Kahoot!. Now on to the cash position development, and in Q4, we saw all time high cash flow from operations in a quarter exceeding $17 million. The cash outflow from investments in the quarter was mainly due to deferred payment for the Clever acquisition in line with agreed payment schedule. And for the full year, adjusted cash flow from operations was $42.7 million. That’s up 37% year-on-year. And as we can see from reported cash flow from operations for the full year, that was $41.9 million. So the adjustments are really minor. So basically $42 million in real [ph] cash flow from operations without adjustments. The net cash out from investments for the year is driven by payment for deferred and contingent considerations for prior years acquisitions. And we have now remaining approx $35 million to be settled for Clever and max $45 million for Drops to be settled in a combination of cash and shares in the coming years. So following these settlements, we’re done with contingent and deferred payments. And considering capital allocation, the Group doesn’t need additional capital to grow organically. Furthermore, our current cash position and future cash generation provide us with opportunities both organic and non-organic alternatives, including M&A and partnerships. So going forward, the Kahoot! Group will provide guidance that’s outlined on the current page. For the full year 2023, continued double digit year-on-year growth in billings, delivering recognized revenue, exceeding $117 million with modest annual growth in operational cost base, and adjusted EBITDA exceeding 40% year-on-year growth with solid free cash flow. For the first quarter of 2023, there is continued year-on-year growth in billings and delivering recognized revenue of $39 million to $40 million with a modest quarterly increase in operational cost base resulting in year-on-year improvement in adjusted EBITDA and free cash flow. For the long-term ambition, we are reiterating the long-term growth potential and scalability ambition targeting approx 40% cash conversion in 25 as percentage of billings. And further information will be provided on the Investor Day in the second quarter of 2023. So by that, I’ll hand back over to our CEO, Eilert for concluding remarks.
Eilert Hanoa: Thank you, Ken. And let’s wrap up by looking at why our platform actually make this highly profitable and scalable growth possible. So our business model is based on a viral spread with 1 million annual transactions from our customers and marginal marketing for the group as a whole and sales costs similarly. Our user-generated content with marginal cost of revenue is also a way to build our ecosystem. And the infrastructure that we have is truly scalable as we already are hosting and catering to 98% of users on the Kahoot! platform, not having a paid subscription. Our high-paced innovation, which is of course, the driving engine for all their users having a great experience every time they come back to our platform, is also really making sure that it’s not about what was successful in a lifecycle, but really what’s all about success in the next cycle. So these core elements combined with a strong brand and with a passion form all our users on our ecosystem and all our partners, is really what drives the momentum in social settings, in schools, education, and in corporations around the world. Finally, let’s look at our strategic focus areas going forward. Kahoot! [indiscernible] commitment to solid, profitable double digit growth as we continue to invest in these four very important areas. That will play a role by continue to basically make sure that we put all our energy into these four tracks, engaging learning, evolving our platform deeper and broader, meaning, of course, the live and also single play and study modes that we all know, but also adding more value and more dimensions to these experiences going forward. The corporate learning which is taking all engaging learning features we have and packaged them for corporations, which makes it possible to get with what we have both of our products, but also experience from Actimo, Motimate to have a better – even better opportunity for serving these segments going forward. Our digital platform for schools of course built on Clever, giving us an opportunity to also partner with other EdTech solutions, publishers and app providers across K-12 U.S., and also as we expand to other markets being an important part of the distribution network we have in Kahoot!. And last but not least, the premium content initiatives both around the creation tools, the hosting experiences, the branding experience, and all the aspects of content transactions on the marketplace and packaging and protecting IP for all our creators as we go forward. And I just want to end on example suing all this together, which is our new employee experience on the Kahoot! 360 platform which is up for launch in the first phase in the coming months. This will give all employees and organizations using Kahoot! 360, the opportunity to upgrade to use this for employees for all kinds of training, engagement, feedback loops and involvements, which is a great way for any organization with marginal costs from deployment, installation, consulting, configuration, and of course no CapEx to instantly have a tool to both share and to engage and build the corporate culture at the minimum investment. And this is one of the important building blocks, obviously that makes it possible for us to also expand our employee license based offerings into corporations, both small and large organizations around the world. So to wrap it up, our global recognized brand with the scalable platform, the experienced organization, which is right size for all initiatives we’re going to do in 2023. The growth potential we both have, the growth we doing and the growth of our financial performance will continue. And so will our focus on continuously improving everything we do for all segments and every cycle. And last but not least, as we all saw from the outline from Ken, we have a solid financial position makes it possible for us to do both strategic partnerships, but also potentially non-organic growth in the future to even expand the Kahoot! platform and growth further. So with that, I hand it back to Irma to kickoff our Q&A.
A - Unidentified Company Representative: Thank you Eilert, and thank you, Ken. We are now ready to move to Q&A for the final section of the presentation. We have received many questions in the chat. And we’ll start with the following. Given your guidance on growth for this year, what are you seeing regarding growth momentum now in Q1 compared to Q4?
Eilert Hanoa: So, I can kick that off. So I think what we see is that the beginning and this is also what we have talked about in previous events that the beginning of Q4 was pretty strong. And then the last part of Q4 went very silent compared to both what is normal from the seasonality. But also what I think we are now, as we have seen from endless of quarterly presentations a change in sediment [ph] from the beginning of December that changed dramatically for both or the leading tech giants of the world, but also for local providers in almost any aspect of the tech industry. The good news is that we have seen much more normalized than positive sediments, both when it comes to existing customers, interest from new customers towards what we are providing of solutions and that combined with, or initiatives that we also talked about today that can give us opportunities to maybe even play in other leagues than where we traditionally have been playing.
Unidentified Company Representative: Thank you. Next one is also for you, Eilert coming from Pete-Veikko Kujala from Morgan Stanley. Could you talk about the drivers behind Q4 deceleration in Clever’s invoicing growth year-on-year? Is this a technicality due to timing of invoicing between quarters or are there some changes in data partners, volumes, monetization, how many beta partners Clever had in Q4?
Eilert Hanoa: Yes, so all in all, I will say that Clever, as also mentioned during the today’s presentation seeing a good moment to both the total growth for the year of 2022, but also now in January this year. So it’s definitely a continuously growth Clever platform year-on-year when it comes to usage, when it comes to the number of partners on the platform. And of course, also the opportunities we have on the platform with the new Clever plus paid services that the 10,000 school districts on the platform can be able to upgrade with. That said, Clever is not a day-to-day trading platform similar to the rest of the group. So school year is more the cycle with the back-to-school as the big year events. So a lot of the growth momentum will be concentrated around the third quarter, as we also saw last year. And then when we guided for a year of 2022, we said that basically a third of billing revenue in Clever will be in the first half and two thirds in the second half, which of course, not on exact percentage, but pretty close was also the result for 2022. So I think the momentum in total on Clever is strong. It’s definitely potential in the Clever platform well beyond what we have been able to achieve so far. And as Clever now have ended their part of their earnout structure. We have also opportunity to do some additional joint projects and ways to work together in 2023 that was a little less easy to manage in 2022. So all in all, we are very confident that the sum of Kahoot!, Clever, the momentum, the platform distribution and joint projects is on the strong side of our activities list in this year.
Unidentified Company Representative: Thank you. Ken, the next question goes to you. How do you expect your cost base to develop this year? Are you planning any changes to your cost base?
Ken Østreng: So thanks Irma. So for 2023 we expect a prudent development of the cost base. We’ve been during the past five quarter had a very modest cost base increase and we expect to focus on operational excellence going into 2023. We have – never had a stronger starting point in terms of an experienced organization going into a year than we have in 2023. And this is the year where we’re going to maximize leverage of our current team and make sure that we make the right priorities in terms of how we use our cost base and the flexibility that you normally will have in a cost base during a year. So basically continuing with a modest development in our cost base, that’s our thinking right now.
Operator: Thank you. The next question is for Eilert – Kristian Spetalen from Arctic Securities. The implied error for you on new subscribers seems substantially lower in H2 versus H1, and Kahoot! has run campaigns with this again during Q4. Is it then, fair to say that Q4 subscriber growth is slightly boosted by these discount campaigns? For example, subscriber growth in home and study was surprising?
Eilert Hanoa: Well, I think first of all, we have been doing campaigns since we launched our first commercial plans. That’s very much what we do both from a season perspective, from introducing new features, introducing new plants, and of course, also for existing customers to upgrade to more to new plants. So that’s definitely a part of our running operation. Our ARPU of course also it’s impacted by what kind of mix of the services customers are buying. Then it’s a difference in pricing for example, a premium hosting license for an event versus an employee license for thousands of employees in an optimal customer company. And you will probably see us having a wide range of price points for business licenses as you have from any other software company as well, of course, doing different products from the single-digit dollar per user. And up to I think our most expensive plan is $79 per user per month right now. So, I think the sum of how do we provide a great platform, a great offering and a great opportunity to grow that offering for the user, meaning either stepping in from free to pay or pay to pay more combined with offering new services for both new and existing customers that they might buy, in addition to what they already have is the base, best way we can continue to grow the total revenue and also the total usage and implied in that maximizing ARPU as well.
Unidentified Company Representative: Øystein Lodgaards from ABG has also submitted a question. One of the initiatives you mentioned Eilert, is that you will recalibrate the organization around three core areas. Can you give some more flavor on what you mean by this?
Eilert Hanoa: Yes, a little bit. Most important we’re doing and which has already started, is through basically say that we need to be even better on commercializing our offerings. Everyone or anyone who’ve been following for some time have seen that we are pretty good in launching great new free services. So, I think that’s the discipline we, you really master, what we also be need to be as good as to launch premium services on the get go. And I think that’s hopefully the results of the alignments we’ve done internally that you will see, in the near future. And also I think the way we build software and the build services with a starting point of how can we make sure that the commercial journey is as seamless as possible and then extend that commercial journey with also free usage as whether it’s a light touch additional disservice or if it’s additional features that can be trialed for a short time. On top of what we all know as the free quiz Kahoot! standalone assets. So this, it’s a combination of mentality, how we project and plan and how we organize our teams. That will be the most important impact on this.
Unidentified Company Representative: Thank you. Next is from Yemi Falana from Goldman Sachs. Thanks for your presentation. Firstly, relative to some other players in the Apex [ph] space, you are continuing to deliver strong growth. Is it just your pipeline that is giving you confidence to guide for $170 million recognize revenues? Or are there other factors? Secondly, you have consistently talked about scaling to your long-term cash generation target. Do you view yourself as on track or perhaps even ahead of this space?
Eilert Hanoa: Yep. I mean the EdTech sector, of course includes a lot of different, both companies in different state of maturity and also very different business models which is an important point here, because the business model locally, it is very much to provide a platform for user to generate the content that might be used for internal use in the company or a teacher for sharing with other teachers or a publishing house, sharing their content, either free or against the transaction on the code platform. But what is unique here is that the scalability of selling access to a platform is, of course, much higher than if you sell our consistent content delivery per se, that also needs maintenance. So, I think the way, the reason we are pretty confident in our guidance is that not only do we kind of constantly elaborate and see the volume of transactions, we know it’s divided on let’s say approximately a million transactions this year as well. And we know that we have both from a geo perspective, from a segment perspective, and from innovation or an evolvement perspective, a lot of different levers that we can calibrate and focus on. And I must say that the hard learning from second half last year also made us a little bit more paranoid in when it comes to how we should guide and prepare for the year of 2023 when it comes to, I would say front loaded investments in product releases and plans for the rest of the year, as you hopefully will see coming out from Kahoot! in the coming months around these to exactly cater to this need. The last part of the question, which was about, sorry the – yes, the long-term scale on the cash commercial, which of course is related to the platform it’s to some extent and we’re very proud of that, that we start to see the 40% cash generation potential from billing already on the core Kahoot! side of the fence and the non-Clever part of our business. We’re not a 100% there yet, but we are closing in. And I think with the timeline we have for 2025 and with the opportunity we have to share resources, build together, strengthen all our initiatives, and as can also pointed out, we will be very, very cautious about cost and discipline. I think we have very good opportunities to deliver on that with the current way of thinking, and then we’ll spend every waking minute to do even smarter both products commercial approaches and initiatives than what we already have on our platform.
Unidentified Company Representative: Great. Thank you. Kristoffer Pedersen from Nordea is wondering if you expect academic marketplace to generate any significant revenue in 2023?
Eilert Hanoa: I think we’ll see a great initiatives on marketplace coming out, every month we will do investments and new features on the marketplace functionality, both to cater to the creators, but more importantly to make the products, the beautiful and fantastic courses they make available for a broader audience. And then as I also mentioned in my presentation, we will introduce new business models for these same creators, not just by selling a one-off course but also to grow into subscriptions. So I think you’ll see from us elements that really makes it possible for not only the one-off transaction, but consistent subscription, which opens up a very different market and also a very potent market in the near future. But I don’t think we will give a specific forecast on when, we expect a revenue from this all than of course, the second half this year will be the first, first big kind of high season for the impact on the marketplace in 2023.
Unidentified Company Representative: The next question comes from Kristian Spetalen from Arctic Securities. You have 50% of employees in product development. How much incremental revenue do you expect from the introduction of new products in 2023?
Eilert Hanoa: So that’s a great question. And I would love to say that, we expect all our initiatives to instantly generate a boost in revenue. After the hard lesson learned in 2022, I would say that we will basically budget and calculate based on existing products that we see are evolving slowly as the value proposition that needs to cater to the budget’s growth. And then if we are able to introduce great new features, able to get a seller or markup whether it’s price or upsell or expansion, that would be something that we can add at a later stage to accelerate our growth further. So, I would say it’s a fairly conservative approach in on whole fast. It actually changes the trajectory on revenue for the company.
Unidentified Company Representative: We have time for one final question from Kristian Flørnes Støle from Carnegie. You report net subscription growth, but could you give some additional color on growth subscription growth and or churn levels for Q4 and 2022? Has there been any change in churn levels over the past year?
Eilert Hanoa: So of course it’s a difference in how we have seen this develop both through the pandemic first in the 2021, where there was a lot of interest for buying licenses from all different sides of and all kind of businesses. In 2022 the, let’s say normal behavior came gradually back after the pandemic. And we believe that the, as we also saw the second half of 2022 with churn/renewal rate being stabilizing for a more or less similar pattern throughout the second half of 2022, slightly different in the different segments, but all in all, fairly stable was more back normalizing versus the most erratic during pandemic compare. So we expect that to be the same pattern going forward. We don’t have any exact insight, of course, in how consumer behavior will be, but again, as mentioned now a few times based on the experience we had in 2022. We also have built very different way to make sure that we have a good way to follow-up and provide even more value for our customers. And as we all know, that’s the only way to improve your churn numbers over time to provide a great product with a great valuable position that have a lasting value for all users and all organizations that we have in our ecosystem.
Unidentified Company Representative: Thank you, Eilert. I’m afraid that’s all we have time for today. Thank you all so much for joining us today, and thank you for your questions. Please reach us if you didn’t get to answer your question today and hope to see you again very soon.
Eilert Hanoa: Thank you.